Operator: Greetings, and welcome to the RingCentral Fourth Quarter and Full Year 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Paul Thomas. Thank you. You may begin.
Paul Thomas: Thank you. Good afternoon, and welcome to RingCentral's fourth quarter and full year 2017 earnings conference call. I'm Paul Thomas, RingCentral's Senior Director of Investor Relations. Joining me today are: Vlad Shmunis, Founder, Chairman and CEO; Dave Sipes, Chief Operating Officer; and Mitesh Dhruv, Chief Financial Officer. Our format today will include prepared remarks, by Vlad, Dave and Mitesh followed by Q&A. Some of our discussions and responses to your questions will contain forward-looking statements. These statements are subject to risks and uncertainties. Actual results may differ materially from our forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission and is incorporated by reference into today's discussion. RingCentral assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. I encourage you to visit our Investor Relations webpage at ir.ringcentral.com to access our earnings release, slide deck, comparisons of historical results under 605 and 606 accounting standards, our non-GAAP to GAAP reconciliations, our periodic SEC reports, a webcast replay of today's call and to learn more about RingCentral. For certain forward-looking guidance, a reconciliation of the non-GAAP financial guidance to corresponding GAAP measure is not available as discussed in detail on the slide deck posted on our Investor Relations website. With that, let me turn the call over to Vlad.
Vlad Shmunis: Good afternoon and thank you for joining our fourth quarter and full year earnings conference call. Our fourth quarter was an outstanding finish to a great year for RingCentral. We extended our reach in the market. Businesses are increasingly taking advantage of our industry leading cloud communication and collaboration solution. Let me begin by covering some of the key highlights for the last quarter and the year. First, total revenues for the fourth quarter grew to $141 million. This is a 34% year-over-year increase and is above the high-end of our guidance range. Total revenues for the full year 2017 were $502 million and 32% year-over-year growth. Growth in the $0.5 billion revenue mark is a significant milestone for software as a services company. Second, the growth in our core subscription business excluding the impact of AT&T continue to excel. In Q4 our core subscription revenue of about $115 million grew 36% year-over-year, up from 28% in Q4 of last year. Third, our mid-market and enterprise business continue to lead the way. We define mid-market and enterprise as 50 seats or greater. It is now a $178 million annualized business. It grew 76% year-over-year and contributed over 55% to our new office business in the quarter, up from 50% in the previous quarter. Fourth, this quarter we closed a record 15 deals with over $1 million in total contract value. This is up from 10 deals in the previous quarter and five deals a year ago. This will highlight the significant progress we have made last year with enterprise customers. Fifth, as the market positions from on-premise solutions to the cloud, channel partners are increasingly gravitating towards cloud providers. We’re benefiting from the shift. Our channel partners capped of the year by delivering another stellar quarter growth. For the 7th quarter in a row our channel partner bookings grew by over 100% year-over-year. Channel partners contributed over 35% of our overall bookings in the quarter. This is up from above 20% last year and 30% last quarter. Finally, I want to provide you with an update in our AT&T business. In January of this year, we acquired all the RingCentral Office@Hand by AT&T account. The transitioning of these customers to RingCentral Office [indiscernible] and is expected to be completed over the next 12 months. It is clear that cloud is winning and RingCentral is winning in the cloud. The shift to the cloud is ubiquitous. Cloud player are gaining share from legacy with the pure cloud providers vying for the $50 billion plus market disruption opportunity. We continue to significantly outpace in the cloud. Last year, we grew twice as fast as the number two company in the space on a business that is almost twice as large. And we win across all segments [indiscernible] our mid-market and enterprise business as customers with over $1,000 MRR in Q4, ours was a $219 million business growing at over 60% year-over-year. This is twice their gross rate and it is on a meaningfully larger [base] [ph]. The reason we are winning is because of our relentless focus and commitment to innovation. Our investments and innovation over the last several years have created a well differentiated platform. To recap, we offer, one, leading collaborative communication suite offering unified experience of comprehensive cloud [indiscernible] and fully featured key messaging. Two, industry leading open platform with [rich] [ph] App gallery, in fact I encourage you to go to apps.ringcentral.com and see for yourself. We now have over a 1,000 standard and custom applications integrated with our open platform and we have a fast growing community of over 10,000 developers building efficient enterprise workflows using our platform. Three, best-in-class user experience with integrated contact center, web meetings and video conferencing. And fourth, world class delivery capabilities offering native experience in 37 countries for global multinational enterprise. In summary, it was a great finish to an outstanding year. We are now a $0.5 billion recurring revenue company with industry leading growth. We continue to extend our lead in the market with excellent traction in all segments and especially mid-market and enterprise. We believe we are well positioned for success. We look forward to an exciting year ahead and to crossing the $1 billion mark in 2020. Now for some color, I will pass it over to our Chief Operating Officer, Dave Sipes.
Dave Sipes: Thank you, Vlad for highlight the success, we had in the quarter and the year. The momentum we are seeing spans across all segments especially in the mid-market and enterprise. This was a result of our commitments to innovation and customer success. To that end in Q4, we completed our previously stated goal of establishing local enterprise salesforce presence in major cities across the U.S., Canada and the UK. But this is just the start of [indiscernible] expansion. The $15 million plus TCV deals that Vlad mentioned demonstrates the success we are experiencing in this segment. We will continue to aggressively grow our enterprise direct sales presence to capture the large cloud opportunity at hand and to further cement our market leadership. We are winning with our integrated communication collaboration and contact center solutions which are differentiated by our mobile first user experience open platform and global coverage. Our market leading product suite helped us close numerous significant deals in the quarter. Let me give you some color on just a few of our wins. Our global presence continues to grow. I’ll start with the 7 figure deal we won with Ladbrokes Coral, the largest provider of betting and gaming services in the UK. Ladbrokes Coral was migrating off their legacy platforms and was looking for a best-in-class cloud-based solution. What set RingCentral apart from the competition was our tight integrations with Google and Salesforce and ability to scale up to 1000s of locations quickly and easily. When fully deployed Ladbrokes Coral will have 6,000 users. Our integrated contract center continue to be a strategic differentiator for us. It has helped us win significant deals during the quarter including 6 of our million dollar plus TCV deals. For example in Q4 a leading healthcare technology service provider wanted to replace their legacy systems with cloud communication solutions. They chose RingCentral because of our ability to deliver a best-in-class integrated contact center and communication solution. When fully deployed this customer will have over 700 seats of RingCentral contact center and over 1,000 seats of RingCentral Office. This deal is worth approximately $7 million in TCV. As Vlad mentioned, our channel partners continue to be key contributors to our success, a great example of our success in the channel was a win of the largest rematch real estate franchisee in the country to Rematch Results. This customer needed a flexible solution that allowed it to communicate from any location and at any mode to make its employees more productive. The customer was also focused on providing superior user experience and flexible integration capabilities. Key differentiators for RingCentral, when fully deployed Rematch results will have 1,000 seats at RingCentral Office. Helping bolster our success in the financial services this quarter, we achieved compliance with FINRA Cyber Security Controls for cloud service providers. This helps us win FirstBank, a Midwest financial services provider. FirstBank was looking to replace their legacy provider with a cloud solution. What differentiated RingCentral was the full scope of our offering, our collaborative communication capabilities with Glip, our integration capabilities of popular applications like ServiceNow and our best-in-class integrated contact center solution. When fully deployed, FirstBank will have over 1,000 seats combined of Office and contact center over multiple locations. Additionally, within the quarter we had two more new customer wins in financial services that exceeded $1 million at TCV each. In addition to our success with new customers, we continue to progress with our land and expand strategy. Avery Dennison, a global leader in adhesive packaging technologies started with less than 100 seats with the success achieved by the customer with the initial information Avery has expanded globally to more than 1,000 seats in multiple countries and as had contact center capabilities. Another example of our land and expand is so far an online personal finance company. They want to find an innovative cloud solution with advanced integration capabilities for delivering highly viability and security. So if I initial find out for 800 RingCentral Office users in Q1 of 2017 and as said nearly doubled this deployment of RingCentral to over 1,500 seats. Our mid-market and enterprise growth in large deal success contributor to a great quarter finishing up an excellent year. We see robust addition of new logos as well as existing customers buying more. We’ve earned later innovation and customer success, we believe that we are well positioned to expand our lead in the industry. Lastly, I would like to invite you to join us at our RingCentral keynote presentation at Enterprise Connect in Orlando on March 14, to see some of our exciting product developments. I’ll now hand it over to our CFO, Mitesh Dhruv.
Mitesh Dhruv: Thanks Dave and good afternoon everyone. On the call today, I will cover key financial results, go drivers, the impact of ASC 606 and guidance for 2018. Our Q4 and fiscal 2017 results are under the historical 605 accounting standard. Guidance for 2018 will be under ASC 606. We are adopting 606 starting January 1 2018 under the full retrospective method and as provided comparative numbers for 2016 and 2017 in the earnings that posted on our IR website. In addition, unless otherwise indicated, all measures that follow are non-GAAP with the year-over-year comparisons. A reconciliation of GAAP to non-GAAP results was provided with our earnings press release and in the earnings deck. With that, let me move on to our results. We are very pleased with our ability to won again exceed the expectations across all of our key financial metrics during the quarter. We delivered total revenue and EPS above the high-end of our guidance range. In Q4, our subscription revenue grew 32% year-over-year to $130 million. Normalizing for the impact of AT&T our core subscription revenue growth rate was 36% up from 28% in Q4 of last year. More historical data on our core growth trends is contained in our earnings slide deck. Total annualized recurring subscription or ARR grew to $546 million up 32% year-over-year and 6% sequentially. ARR for RingCentral Office grew to $466 million up 36% year-over-year and 7% sequentially. In the first quarter of 2018, we anticipate our total ARR to increase in the range of 6% to 7% sequentially. This is in line with historical trends although had a much higher level of revenue. As Vlad mentioned, the key growth driver for RingCentral continues to be our expansion to mid-market and enterprise customers, supported by momentum and channel. This expansion has multiple positive impact to our business. First, land and expand, in Q4 we yet again saw strong performance in new bookings from our existing customers. Up sales represented over 40% of the new business mix in the quarter. Second, production and churn rate. The gross churn for up market customers was less than half of the overall office rate. With the increasing mix of up market customers in our base, our annual gross churn rate for office improved by 1 full percentage point to 10% in 2017. The combination of strong upsell and lower gross churn resulted in higher overall net retention. In fact our annualized net retention for mid-market and enterprise business was about 130%. On the scoring, the significant opportunities we are capturing. Last year we used million dollar TCV deals as approximately mentioned of our progress in the enterprise segment. In Q4 we had a record 15 7 figure TCV deals up from 10 in Q3 and 5 a year ago. Now the enterprise segment is becoming a more meaningful component of our bookings and revenues, we would like to provide a more comprehensive measure of our progress. To that end and we mentioned last quarter, we will be providing a dollar deal in enterprise metric defined as all customers with ARR more than $100,000. Exiting Q4, these customers represented an $86 million business that grew more than 110% year-over-year. We saw this momentum reflected in our Q4 results. Total revenue for the fourth quarter grew 34% to $141 million. The growth rate was driven by our mid-market and enterprise business. Adjusting to the direct phone sales model resulted in a 3-point tailwind to our total revenue growth, but had no impact on our subscription growth. Operating margin was 3.9% at the high-end of our guidance range of 3.5% to 4%. Moving on to our full year 2017 results. Subscription revenue grew 30% to $463 million. Total revenue grew 32% to $502 million, adjusting to the direct phone sales model resulted in a 3-point tailwind to our total revenue bills, but had no impact on our subscription growth. Non-GAAP operating margin expanded 130 basis points year-over-year. The improvement demonstrates the inherent leverage in our operating model as the business continues to scale. Cash flow from operations increased to $41 million up from $30 million in 2016. CapEx in 2017 was $27 million or approximately 5% of revenue. In 2018, we expect CapEx as a percent of revenue to increase by a point as we expect our infrastructure to support growth initiatives. Now for an update on AT&T. As Vlad mentioned earlier, we are transitioning all Office@Hand by AT&T customers to a direct billing and account relationship with the RingCentral. This transition has no impact on our revenue accounting for these customers. We are confident in delivering continuous and incremental value to these customers over time. For planning purposes, we have made conservative assumptions that factor in normalized churn as well as potential incremental churn from migration. Also consistent with last year we have assumed no new incremental business from these customers. Before giving guidance for 2018, let’s cover the impact from ASC 606. The adoption of 606 drives two primary changes, the first change is to our revenue treatment. Under the 606 standard certain discounts will be amortized over the life of the contract. Overall, the impact of this change is material to our revenue and year-over-year growth. The more significant change relates to the treatment of sales commission costs. Previously we expensed all commission as incurred. On to the 606 standard certain sales commissions will be capitalized and amortized over the expected customer life. The impact of this change will result in approximately a 4 point decrease to sales and marketing expense as a percent of revenue. As a reminder this new standard is an accounting change only, it has no impact on our operating or free cash flow. Turning to our outlook. As I mentioned earlier, our guidance is under the new 606 standard. For 2018, we expect subscription revenue between $581 million and $589 million or an annual growth rate of 25 % to 27%. Excluding the impact of AT&T, we expect core subscription revenue to grow 31% to 33%. The relative impact of AT&T on our overall growth will begin to abate in 2019 as our revenue base gets larger and AT&T compares normalized. We expect total revenue between $629 million and $639 million for an annual growth rate of 25% to 27%. We expect non-GAAP operating margin of 7.8% to 8.2%. Our guidance includes about a 4-point tailwind from the adoption of 606 standard. Removing that impact, we expect 75 to 100 basis points of underlying margin expansion consistent with our earlier outlook. We expect non-GAAP EPS of $0.56 to $0.60 based on $86.5 million fully diluted shares. The difference between GAAP and non-GAAP EPS is expected to include $0.82 of stock-based compensation and $0.06 of amortization of acquired intangibles. We do not forecast any effect of currency re-measurement which could be a significant reconciling item between GAAP and non-GAAP EPS, because it’s difficult to predict and subject to constant change. Now the outlook for the first quarter of 2018. We expect subscription revenue between $134 million and $135 million or an annual growth of 29% to 30%. Excluding the impact of AT&T we expect our core subscription revenue to grow 33% to 35%. We expect total revenue between $144.5 million and $146.5 million or an annual growth rate of 29% to 31%. We expect non-GAAP operating margin of 7% to 7.6%. We expect non-GAAP EPS of $0.11 to $0.13 based on $85 million fully diluted shares. The difference between GAAP and non-GAAP EPS is expected to include $0.18 of stock-based compensation and a penny from amortization of acquired intangibles. Again we did not forecast any effects of currency re-measurement. You can find our Q1 and fiscal 2018 guidance details in our press release and our earnings deck. In summary, we continue to execute well delivering strong results in 2017. As a testament to our industry leadership our core growth improved on a larger base we expected for 2018 as we continue capturing market share from legacy providers while dissenting ourselves from cloud competitors. Last but not least, I’m happy to announce that we will be holding our second Investor Day on June 14th in New York. More details will be available soon and we look forward to seeing you there. With that, let me turn the call to the operator for Q&A
Operator: [Operator Instructions] Our first question comes from Bhavan Suri of William Blair. Please proceed with your question.
Bhavan Suri: Hey guys can you hear me okay?
Dave Sipes: Yes. We can.
Bhavan Suri: Great, great, congrats that was a phenomenal quarter between the reacceleration and the 15 deals over a million dollars, just a fantastic job, so well done from me. I guess, my first question maybe to Mitesh and then Dave maybe can chime in too. But if you think about the acceleration both in bookings and then also in revenue, just unpack what the drivers are, you’re touching a bunch of things, partner sales people, but if you sort to think about a trend on what’s driving the acceleration, I want to just understand how would you unpack that into some of the key drivers of the business?
Mitesh Dhruv: Sure Bhavan, it’s Mitesh, I’ll take that. So, thank you for the congratulations. We were very pleased at seeing our core growth accelerate to 36% up from 28% last year. So that’s good. If you look at the drivers to unpack the acceleration, there are really two core drivers. Number one is, the secular trends, the clouds gaining momentum and it’s lifting all boats. And the on-premise legacy vendors continue to be share donors, so that’s a trend number one. Second, is more differentiation on our end which is our execution and in that, I would say our investments in the mid-market and the enterprise segment along with the channels are really starting to pay off. Our mid-market and enterprise business is now over $175 million business as we said which is growing over 75%. Within that 50% of our mid-market enterprise is actually enterprise business. So it's about $85 million business which is growing more than 100%. In channels, they continue to perform really well. The bookings doubled again year-over-year for the seventh quarter in a row. And what's happening as a result of this shift to larger customers, our net retention in that segment is now north of 130% annually. So all these trends now are working together driving -- creating a flywheel effect for us driving very strong bookings which led to the acceleration.
Bhavan Suri: Great. And then a quick follow up here. Just on some of the trends the legacy guys might do, so obviously you've sort of seen the Cisco Boradsoft thing and I guess the question is, are you seeing them think about cloud themselves or are you sort of and maybe Vlad can jump in on this one. But are you seeing sort of service providers try and host sort of a cloud offering for enterprise guys using Cisco Avaya sort of like a third-party hosted model. Do you run into that at all and sort of what are you seeing out there sort of – from that sort of enterprise guys trying to compete as you start to encroach on some of Cisco's larger customers and the Avaya base?
Vlad Shmunis: Yes. Hi, Bhavan. So if I understand the question. The question was about service providers trying to compete using the hosted model, correct?
Bhavan Suri: Yes.
Vlad Shmunis: Yes. Look they've been at it for a while. Most of them have license from Broadsoft which is exactly that model. They're hosting somebody else's stack and by and large, I would say that that effort has not been particularly successful. Again, numbers speak for themselves, you can see our rate of growth, now a $0.5 billion dollar recurring revenue number. And to our knowledge at least there is not a service provider anywhere out there with anything like that type of growth or even that type of base to speak to. And the reason for that is that just calling something cloud does not make it cloud. There is a very big difference between hosted software which is what they're all doing and true cloud which is a true global multi-tenant architecture and to make it -- to put it as simple as I can the big difference is really in the rate of innovation whereby a cloud provider like ourselves we have multiple releases per year and literally constant stream of updates. Okay? And if you look at all of the industry leaders from other industries look at your Salesforce, look at Workday, Netsuite, even go outside your Facebooks and Twitters, all of us are engaged in this continuous innovation and continuous improvement. And if you look at software providers like Broadsoft now, Cisco innovation cycle on the good days maybe two years. You simply cannot compete. And this is why cloud is winning. The numbers are very clear.
Bhavan Suri: Nice job. Thanks guys and congrats again.
Operator: Our next question comes from Terry Tillman of SunTrust Robinson Humphrey. Please proceed with your question.
Terry Tillman: Hey gentlemen can you hear me?
Paul Thomas: Yes. We can hear you.
Terry Tillman: I'll echo Bhavan's congratulations. And I really like seeing that 130% plus year-over-year net revenue retention rate that was exceptional. My two questions. First question actually maybe Mitesh for you. Could you talk about what's involved economics wise and the strategy behind acquiring the AT&T related RingCentral business? And what kind of impact will be in the financial model whether it's revenue, expenses, cost of service et cetera?
Mitesh Dhruv: Sure, Terry. I'll take that. So just for background of people who may not have followed us for a long time. AT&T was a reseller of RingCentral for last several years. Couple of years ago, AT&T decided to take -- develop their own or sell - resell Broadsoft solution. And we've been -- we've stated that for a while. And as a result bookings of our product through AT&T last year have been virtually non-existent again this was well-flagged. So then the open question became what happens to the installed base. That was the biggest open question. And to that end, AT&T and RingCentral mutually decided that the best thing in the interest of the customers to serve them well was to transition these customers to RingCentral. That removed the major overhang from at least the Wall Street perspective that what was going to happen to the installed base. I will tell you that early days. But migration has started and we are seeing good indication of what the overall installed base is going to look like once they migrate. So early positive indications. To your question on what's baked into the guidance and the financial model impact, we've actually taken more of a conservative posture there Terry as usual. We've actually assumed churn rate similar to last year. And then, we've assumed some onetime incremental churn for migration as well as no new business from AT&T this year. You can see all that is dialed into our guidance for 2018 which is about 27% total revenue. And then you can see that the core revenue guide is over 30%.
Terry Tillman: Awesome. Thank you. And then my -- go ahead sorry. Go ahead.
Mitesh Dhruv: I was just going to say from a revenue accounting point of view there's no change to revrec which is what you asked because AT&T's revenue was recognized on a P&L much like any other channel partner.
Terry Tillman: Okay. That's good to know. And my follow up question just relates to contact center. I think Dave maybe you had talked about the integral nature and the importance of that in some of those large TCV deals. I know you all get a big lift on a per seat basis when you sell contact center. Can you quantify maybe -- I don't know who this question for but could you quantify how much of the business now is contact center? And going forward how important that is in these larger million dollar plus TCVs? Thank you and a great job.
Dave Sipes: Yes. It's Dave. I think we stated of our 15 large deals -- million dollar plus TCV deals, 6 of those incorporated contact center and our couple largest incorporated contact center including the $7 million TCV deal. And it becomes an important opportunity for us, it's our closest adjacency. We know the ARPUs are 4x typically UCaaS. So a smaller number of contact center seats contribute disproportionately large to revenue. We know our integration provides an enterprise class contact center is best in class Magic Quadrant wise. And it's still early days for us but we continue to grow it even faster than the rest of the business. And we see in traditional players contact center is made up anywhere from 20% to 60% of revenues for a UCaaS contact center company. So I think that's our long-term opportunity.
Terry Tillman: Thank you.
Operator: Our next question comes from John DiFucci of Jefferies. Please proceed with your question.
Julian Serafini: Hi. This is Julian Serafini on for John DiFucci. I had two questions. I guess the first one is relating to Avaya's that we saw Avaya exit bankruptcy this year. And we saw them announce the acquisition of a cloud contact center vendor. Have you seen any I guess change in your ability to win any business from legacy Avaya customer since they exited the bankruptcy and I presume we're in a more - and they're in a more financially sound position now?
Dave Sipes: Yes. This is Dave. And I think the macro trends that contributed them going into bankruptcy are still there in spades and the secular trends that cloud just continues. We see a greater willingness of customers to leave legacy providers and move to pure cloud solutions. And we've also seen that in the channel partners are seeing that with the customers and why we've been able to add so many channel partners both ex-Avaya partners as well as other legacy providers. So the overall trends that have been occurring, we see continuing to occur, we don't see any significant difference as of yet in the competitive environment.
Julian Serafini: Okay. Thanks. I guess second question I want to ask to is, just want to touch on international quickly. Can you give us I guess a bit more of an update I guess into your international efforts? And would you be willing to guess to quantify like how much of your total business today is international in general like a sense of like when you think international becomes like a meaningful contributors to your result going forward?
Dave Sipes: The International we got there initially because the customers were asking us. And we expanded our global office offering and now we are covering 37 countries around the world. And we also announced the opening of currency in country purchasing of 13 European countries last year. We saw that large deal Ladbrokes code deal with 6000 users was a U.K. deal. And as we've expanded our enterprise sales force we've expanded that aggressively in the U.K. and are starting to expand that into Western Europe. So it's continuing to grow at a high rate higher than the rest of the business. So we'll continue to add incrementally to the overall story.
Julian Serafini: Okay. Thanks.
Operator: Our next question comes from Meta Marshall of Morgan Stanley. Please proceed with your question.
Meta Marshall: Great. Thanks. Graduations guys. A couple of questions for me. As you look to kind of the areas where you plan to invest in the next year, will this be focused more on kind of continuing to grow the international footprint. Will it be working on different contact center functionalities or working on integration because a sense of kind of the direction of the increase in OpEx over the year. The second, Mitesh, I might have missed this, is there any change to kind of margin or sales and marketing that we should consider with the change in AT&T moving that business over to your -- fully to you guys. And then, third if I could, just on the larger deals or kind of the million dollar deals how many of those 15 were brought in by the channel versus direct sales?
Dave Sipes: Sure. I'll take the first and third and let Mitesh address the AT&T. I think you are asking in 2018 where do we see our incremental investment. And from a sales and marketing perspective we continue to see very strong opportunity in mid-market and enterprise and continued expansion of those sales teams both in North America as well as international and also continued opportunity in selling contact center as our closest adjacency. So those will be some of the key areas. On the million dollar deals, we have the 15 --12 of the 15 were associated with the channel. And so they -- and I think overall for the business channel contributed more than 35% of our new bookings.
Mitesh Dhruv: And Meta on the AT&T. Again I said, as I mentioned earlier to Terry. No change changes to revenue accounting on the P&L, revenue is the same. And sales and marketing it's already dialed into operating margin guidance.
Meta Marshall: Okay. But, was there any like how much of the -- like is there an uplift from having that business on your income statement versus commissions you are paid for AT&T?
Mitesh Dhruv: Sure. I mean there was a rev share which sort of goes away. I'm not going to go into exact details because of the nature of the contract. But, yes, there was a uplift in that and then we are reinvesting that in the direct business as well as nurturing the AT&T installed base.
Meta Marshall: Got it. Thanks.
Operator: Your next question comes from Nikolay Beliov of Bank of America Merrill Lynch. Please proceed with your question.
Nikolay Beliov: Hi. Thanks for taking the question. And just start like with my congrats on great performance here. My first question is around the [indiscernible] you can double click on the channel, the size of the channel is excluding AT&T telco versus other channel. And then, all the channel like the 2x increased your -- impact the business model?
Mitesh Dhruv: Sure Nikolay. So channel again like Dave said has been a key growth vector for us, 80% of the million dollar TCV deal came from the channel. In terms of the size of the channel business -- it's actually pretty -- it's getting pretty sizable, it's about $100 million business that's doubling year-over-year. And if you look at the impacts to the business models, there are several positive impacts to the business model because of the channel. Number one is the marketing costs of our leads through the channels are lower because there's not much a lead gen required. The challenge is being at the deal. So that money can be redeployed to fuel the fire on our direct sales efforts because the channels prefer or as a dual model. So that's impact number one which is lower costs upfront. Impact number two is, lower gross churn and higher net retention because the channel is on the -- ready to pay as you go model that the channel partners are incentivized to keep the hold under the customers as long as they want -- as long as they can. And the channels get -- the customers get served really well. So it's a win-win-win for us. The channels and the customers, which then helps our gross churn. In fact, if you look at the gross churn percentage, the gross churn from channels is about 40% to 50% lower than the overall direct gross churn. So that's the gross churn impact. And because the channels are mostly up market driven they actually also held the network engine. So net-net I think it -- there are several positive benefits for the channel and they are here stay.
Nikolay Beliov: And my second question is permutation and David when you look at sales and marketing efficiency over the last year and going into 2018, clearly what you just said some of that apply to that. How would you characterize sales and marketing efficiency and some of the metrics underlying that sales attrition, sales productivity and like the tweak you may go into 2018 to keep up the momentum in mid-market and enterprise. Thank you.
Dave Sipes: Yes. This is David. On the sales and marketing efficiency when we look at that relative to the new business we're bringing in, we've had positive trends in each segment and probably as you know early on as we invest in enterprise, we see significant [indiscernible] as that group starts maturing more over time with having more fully productive reps as it takes about approximately about a year to ramp up fully in that group. So those have been positive trends for us. The channel obviously also contributes by providing lower initial cost up front cost on a sales marketing basis.
Operator: Our next question comes from George Sutton of Craig-Hallum. Please proceed with your question.
George Sutton: Thank you. The question for David. With the growth in your major city strategy along with the channel and inside sales, I'm just curious how much does -- how much of the opportunity set you feel like you're seeing today relative to what you might have seen a year ago. And I'm curious as an aside to that from Mitesh what -- at what point do we start to get leverage from the sales and marketing costs?
Dave Sipes: Yes. This is David. So one the fact that we just built our enterprise team over the last year and a half has gotten assumed to a lot more deals. Additionally, the channel is helping us do that also. Are we seeing every deal? We're not seeing every deal there's still opportunity for increased coverage. We know several of the legacy providers in this category have had very large enterprise sales teams and that's still a big opportunity for us as the customers are becoming more willing and the secular nature of the cloud movement is increasing. So I think were still early days in capturing a big opportunity.
Mitesh Dhruv: And on the sales and marketing efficiency, George it is what Dave said actually that we are in the early days of capturing this opportunity. If you look at the underlying sales and marketing leverage, we are seeing a lot of leverage across all segments. Our productivity across each segment is getting better, but what we are not seeing in the P&L is that those dollars are getting reinvested to build out Dave's -- sales force, which is the large opportunity ahead of us. So I think underlying under the hood, there's a lot of leverage in the business model and overall as the business model matures and the sales force ramps across each segment, you just start to see some leverage over time as we step up to a billion dollars, but ultimately we may choose to invest those dollars as we are doing this year.
George Sutton: Okay. Just one other thing if I could. Why would AT&T agreed to this change or they deserve a payment that goes to AT&T to transfer these customers over. Just curious about the motivation?
Dave Sipes: Yes. This is David. The primary motivation was to do what was best for the customers. And I think that drove all the discussion and ultimately when we looked at the options together we felt like this was the best option to move those customers to RingCentral office. So that was the primary driver of the deal. And then Mitesh, do you want to talk about anything?
Mitesh Dhruv: Economics look we have not disclosed economics it will be available in our public filings. But just to frame the discussion, we paid AT&T a fair price in the low tens of millions of dollars.
George Sutton: All right. Thanks guys.
Operator: Our next question comes from Brian Peterson of Raymond James. Please proceed with your question.
Brian Peterson: Hi, gentlemen. Thanks for taking the question and congrats on the quarter. So Mitesh you mentioned the 130% net retention numbers in the enterprise, is there anyway you can deconstruct that a bit maybe what are the drivers, it's just a really big number.
Mitesh Dhruv: Sure, Brian. So the net retention for the mid-market and enterprise customers was 130% for the year. Basically it's driven by our move to larger customers and it drives to two different vectors. One is the gross churn for these larger customers is much lower than the downmarket customer. The gross churn for our up market customer is less than half of the downmarket customers. And it's about in the low to mid single digits annually. So that's number one and number two is, these larger customers drive land and expand about 40 percent of our new business came from existing business which is land and expand. About 40% of our new business came from existing business, which is land and expand this quarter. And within land and expand, we now have with our product portfolio and global expansion, we can drive land and expand in 3 flavors. One is going after other divisions with natural augmentation of employee seat count. Number two is our global footprint. Dave mentioned we are in 37 countries now. So that's an expansion factor. And the third is, with the whole product portfolio we have with contact center and zoom rooms replaced tele-presence. We replaced -- we also get a bite of the apple in terms of products. So all these three vectors of upsell and cross-sell along with lower gross churn led to this net retention number of 130%.
Brian Peterson: Understood. Congrats guys.
Mitesh Dhruv: Thank you.
Operator: Our next question comes from Sterling Auty of JPMorgan. Please proceed with your question.
Sterling Auty: Hi. Thanks. On the AT&T base that's coming over I missed it if you said it. Can you quantify in some forward fashion how big that base of customers actually is?
Mitesh Dhruv: Sure, Sterling. It's going to be available. It's about north of $50 million of installed base
Sterling Auty: Okay. And is there a sense, I imagine they've not been given a heavy upsell in the last two years. Is that correct? And any early evidence on those that are coming over maybe a willingness to buy more?
Mitesh Dhruv: Sure. I will take the first part and maybe I have Dave chime in. So yes, you're absolutely right. They were on AT&T's ticket. So that we've not seen any meaningful upsell in fact -- they have been churning at call at the high teens annually and that's what we have dialed in to the guidance Sterling, in fact a little bit more conservative than that even. In terms of upsell opportunities. Sure there are upsell opportunities because now these customers get to have a shot at our fourth product portfolio with contact center global expansion. Early days though. We've just started the migration, so early indications are positive but too early to take it to the bank.
Sterling Auty: Okay. And one follow up just wondering as you look at the two customer segments how would you characterize the trends in customer acquisition cost. I know we talk a lot about the made in enterprise piece but kind of curious what's happening in terms of the trends of customer acquisition cost in the core SMB part of the business?
Dave Sipes: Yes. This is David. I think we talked about this sales and marketing inefficiencies in all segments as continued to improve overall. So we see flat to improving and in all those segments -- in the upper segments as we've mature the sales force that's probably a quicker improvement than we see in the small business. But there has been positive trends throughout.
Sterling Auty: Okay. Thank you.
Operator: Our next question comes from Heather Bellini of Goldman Sachs. Please proceed with your question.
Unidentified Analyst: Hi. This is John on the line for Heather. I've some of the answer on the [indiscernible] of an existing accounts. How much of this is due growth itself and how much of that could be attributed to expanding SKUs within those customers? And as a follow up clarification point, are these 15 deals -- 15, $1 million were some of them is higher customers that have now sort of crossed that $1 million threshold of these new account? Thanks a lot.
Dave Sipes: So, this is Dave. I'll take the second part and the second part was of the 15 million dollar TCV deals how much was $15 million TCV deals, how much was upsell into existing customers versus maybe net new logos. So, we had of the 15, 13 were net new logos. And now combine that with the fact that 40% of the bookings were upsell, these types of deals are really seating future growth for us in the business. So, we're pretty happy with the acquisition activity that we're achieving in the market.
Dave Sipes: And in terms of the second question, the upsell mix between seats and product, right now it's more heavily, heavier weighted towards the seat and the product remains an opportunity for us.
Unidentified Analyst: Got it. Thank you.
Operator: Our next question comes from Michael Latimore of Northland Capital Markets. Please proceed with your question.
Michael Latimore: Great. Yes. And congratulations that was great. In terms of the 13 net new deals, these enterprise deals, what percent of the total opportunity are they initially booking, obviously that lead to future upsell potential there?
Mitesh Dhruv: Sure, Mike it's, I'll give you a ballpark. It's about, I would say between 15% to 20% of the overall opportunity is the way to frame the initial purchase.
Michael Latimore: Okay great. And then with the rate to the AT&T based, what does the end customer see as the base we just, your name a bill or versus the AT&T, what are they doing to see?
Dave Sipes: So traditionally it's been RingCentral Office@Hand by AT&T and now it's, as it transitions it will become RingCentral Office.
Michael Latimore: So it's a real change they are going to experience?
Dave Sipes: That's the brand change and then the billing will switch from AT&T when its RingCentral Office@Hand which is currently AT&T bill to RingCentral bill on RingCentral Office.
Michael Latimore: Okay, fair. Thanks.
Operator: Our next question comes from Samad Samana of Stephens Inc. please proceed with your question.
Samad Samana: Hi congrats on a great quarter and thanks for taking my questions. First, the company in the past has talked about ramping channel partners themselves that you are tracking over from via channel based and some other competitors. I'm curious if you could give us an idea of how fully ramped up you feel like your partner basis and how much from here is to drive increased productivity and add to that partner channel and then Mitesh I have a follow-up for you.
Dave Sipes: Hi, this is Dave. On the channel group in ramping up our partners, this was the 7th consecutive quarter of greater than 100% year-over-year in bookings growth. And channel contributed to a large number of those large deals as well as our largest, as well as the $7 million TCV deal. So, definitely a key contributor, we do see further opportunities as these partners ramp up we continue to sign new partners and we've moved maybe more from the master agents to more of a national partners that control their own sales forces and have traditionally sold more legacy services. So there has been a kind of the newer part of who are signing up and those will ramp in over the next 12 to 18 months. So there is still a long, fairly way of ramp up period that we see coming.
Samad Samana: Okay and then Mitesh, the stock-based compensation guidance for the company its big year-over-year increase, I think you guided for around $70 million that's $42 million in 2017 that's a quite bid leap, I'm wondering if you can, did I miss something or can you just help me understand why the big jump year-over-year?
Mitesh Dhruv: Sure, yes. It did jump from last year for a very simple reason that we in the bay area compete with the likes of Facebook and Google of the worlds for talent and if we benchmarked our stock-based compensation extensively across all SaaS peers and now they moved our compensation more in line with the SaaS peers at about 11%.
Samad Samana: Got it, I just wanted to make sure I didn't miss anything that was driving that beyond an expensive bay area outcome. Thank you.
Mitesh Dhruv: You never missed anything from that, so yes it was the expense bay area of every 11.
Operator: Our next question comes from Jonathan Kees of Summit Research. Please proceed with your question.
Jonathan Kees: Great, thanks for taking my question and I have my congrats. I wanted to ask specifically about your career channel, that's great that you provided some quantification for AT&T, in the past you've talked about BT and Tellison talked about it qualitatively, I'm just curious in terms of how they feared in the quarter and if you could talk about in more quantitative way that would be great?
Dave Sipes: Hi this is Dave. Yes, both those partners we've had positive tractions with we continues to talk about new opportunities with both partners and expand our penetration into their sales teams and into additional segments within those organizations. So, say both trended in a positive manner and continues to be a part of our career channel business.
Jonathan Kees: And then may I ask you this way, if I can, with the conclusion of the fiscal year any 10% customers, I mean if AT&T was we didn't purchase over their properties would they have been 10% customer?
Mitesh Dhruv: Hey Jonathan this is Mitesh, no they wouldn't have crossed 10% far from.
Jonathan Kees: So you had no 10% customers.
Mitesh Dhruv: No, except excluding AT&T.
Jonathan Kees: Excluding AT&T.
Mitesh Dhruv: Yes.
Jonathan Kees: Okay, all right great. Thank you.
Operator: Our next question comes from [indiscernible] Dougherty & Co. Please proceed with your question.
Unidentified Analyst: [indiscernible] on Catharine Trebnick. Thanks. Just a couple of questions on your product line beyond Office, so wondering what you are seeing as far as demand for Glip and if you are seeing more success packaging there with Office for new customers also on to current customers, and then secondly kind of just thoughts on the intersection of UCaaS and CPaaS enter the new extension if you move into that market as you are seeing from some competitors?
Dave Sipes: Yes. This is Dave here. So, I think the question was that the product suite, we see Glip as a key component of the overall product we're integrating at more thoroughly into Office. And it comes with every office seat that we saw. So its intrinsically integrated into the product and it helps with engagement and customer retention. And obviously we've had opportunities selling, monetizing other component such as contact center global office and our live reports, as well as meetings and rooms.
Unidentified Analyst: Got it.
Operator: Our final question comes from Will Power of Robert W. Baird. Please proceed with your question.
Will Power: Okay, yes great, thanks. Yes, I wanted to just focus on enterprise not surprisingly, I guess just if you think about the S&P how it could be, how should we think about, the growth opportunity there and what is that competitive landscape more because, it changed all more competitive, less competitive standard close, kind of looking for some frame of reference, because that piece of the business? And then Mitesh on the capital intensity, I think you said it would be up a little bit in 2018 to accommodate the enterprise growth you are seeing, is that kind of the new normal or is there anything kind of one time to that? Thanks.
Mitesh Dhruv: Let me take the CapEx and I'll let Dave address the S&P part. On CapEx it's not the new normal as such, but at least its normal for 2018, we are expanding our sales footprint. So the drivers for CapEx are mostly our sales expansion and also some our global footprint expansion that drives CapEx for 2018, so for 2019 maybe it's 5.5, 6 points in the margin there.
Dave Sipes: And then, on small business we continue to look at offerings for the small business, it's on some part of our business we have the premium offerings with our Glip product that we continue to push as opportunities for small business expansion. And that business doesn't grow, given the unsaturated nature of the enterprise segment that's growing significantly faster where the small business is probably close to around 20% growth.
Will Power: Okay. Thank you.
Operator: Ladies and gentlemen, we've reached the end of our question and answer session. This concludes RingCentral's fourth quarter earnings conference call. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.